Operator: Greetings. Welcome to Century Communities Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference call is being recorded. I will now turn the conference over to Hunter Wells, Vice President of Investor Relations for Century Communities. Thank you. You may begin.
Hunter Wells: Good afternoon. Thank you for joining us today for Century Communities earnings conference call for the fourth quarter and full year ended December 31 2021. Before the call begins, I would like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described or implied in the forward-looking statements. Certain of these risks and uncertainties can be found under the heading Risk Factors in the company's most recently filed 2021 and to be filed 2021 Annual Report on Form 10-K as supplemented by our other SEC filings. Our SEC filings are available at www.sec.gov and on our website at www.centurycommunities.com. The company undertakes no duty to update any forward-looking statements that are made during this call. Additionally, certain non-GAAP financial measures will be discussed on this conference call. The company's presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Management will be available after the call, should you have any questions that did not get answered. Hosting the call today are Dale Francescon, Chairman and Co-Chief Executive Officer; Rob Francescon, President and Co-Chief Executive Officer; and David Messenger, Chief Financial Officer. Following today's prepared remarks, we will open the line up for questions. With that, I will turn the call over to Dale.
Dale Francescon: Thank you, Hunter, and good afternoon everyone. Our record fourth quarter results helped propel Century to the most successful year in our history as we continue to experience strong consumer demand for affordable new homes across our entire 17 state footprint. We delivered 2,915 homes, the most homes we have ever delivered within a quarter, culminating in a record 10,805 closings for the year, generating over $4.2 billion in total revenues, a 33% increase. The fourth quarter was not only Century's strongest quarter in terms of closings, but we also achieved a number of additional milestones and quarterly records including $1.2 billion in homebuilding revenues, an increase of 23% and home sales gross margin of 25.9%, our highest since going public. We accomplished this while concurrently improving our SG&A leverage to 9.3%, the lowest in company history, and the fourth quarter in a row of single digit SG&A ratio, helping to drive our eighth sequential quarter of pre-tax margin improvement, which expanded 530 basis points to 17.6%. Fourth quarter net income increased 80% to a record $165 million or $4.78 in the earnings per diluted share our highest quarterly net income and EPS. Net new contracts increased to a fourth quarter record 2700 homes with our sales pace accelerating each month through the end of the year reflecting not only the resiliency we are experiencing in terms of demand, but also our ongoing sales momentum into 2022. The most significant constraint on our achievable sales pace remains the number of homes we have available for purchase. This strong demand environment is further evidenced by the significant progress made in growing our backlog, ending the year with 4,651 sold homes valued at $1.9 billion increases of 35% and 45% respectively. Our 2021 homebuilding revenues also grew by 34% to $4 billion and was achieved in parallel with record gross margin expansion of 580 basis points to 24.2% and a 160 basis point improvement in SG&A leverage to a record 9.7%, fueling Century Community's most profitable year ever. Throughout 2021, we were able to increase our gross margin percentage in each successive quarter resulting in 142% year-over-year increase in net income to $499 million or $14.47 in earnings per diluted share and driving return on equity to 33% our 11th quarter of sequential improvement. 2021 also represented our 19th consecutive year of profitability. Housing demographics and buyer demand remain strong and we are well-positioned to benefit from the ongoing shortage of both new and resale homes available for purchase. In the fourth quarter across our more than 40 markets the estimated months of supply decreased to an average of approximately one month well below the current national average of 2.4 months. This constrained supply of available homes is occurring at a time when millions of millennials, the largest generational group in the country are reaching the prime age for new household formation, driving demand and further exacerbating the shortage. By 2025 it is expected that an additional 6.4 million new households will be formed as millennials continue to age into their home buying years. To better position Century and the appeal of our homes to this digitally focused generation we recently announced the expanded capability of our industry first buy online experience, which allows homebuyers to not only reserve but fully complete a new home sales contract over the internet. While this program has been in place for several years within the Century Complete brand, it is now available for all Century homes sold across our expansive national footprint. The streamlined process is easily completed, providing the convenience of online shopping and enabling buyers to purchase a home anytime 365 days a year. The program significant potential was recently demonstrated when the buy online platform was used to purchase a home on Thanksgiving Day, one of the few days a year our sales offices were closed. Our record results for the fourth quarter and full year reflect the power of our business model, the strong foundation we have built and our ability to overcome the impact of higher input costs, supply chain disruptions and a tight labor market. In 2021, we bolstered cash flows as reflected by 103% increase in EBITDA to accompany record $718 million and improved our net homebuilding debt to net capital ratio to 26.3% all while significantly growing the investment in our business and initiating a quarterly cash dividend to reward our shareholders. Stockholders equity also increased 38% to $1.8 billion, strengthening our balance sheet and providing us with maximum flexibility to manage our organization and capitalize on opportunities as they arise. The incredibly talented teams across our business have done a fantastic job of navigating the construction challenges the industry is experiencing. It is their hard work, dedication and commitment that enabled us to deliver on our objectives for the year. And they remain sharply focused on the continued execution of our strategy to drive organic growth and increase our presence in existing markets as well as future ones. This year, we'll celebrate the 20 year anniversary of our founding. As we enter this milestone year, we're looking forward to capitalizing on the tremendous growth opportunities ahead of us. I'll now turn the call over to Rob to discuss our business in more detail.
Rob Francescon: Thank you, Dale. And good afternoon, everyone. Our proven history of consistent performance is compelling evidence that our operating strategy, strategic investments and efficiency initiatives are working. We intend to continue growing the business as we strengthen our competitive positioning, and further execute against our key initiatives. In the fourth quarter, we continue to raise prices across all of Century's markets, as we did throughout the year. Even with this price appreciation 75% of our 2021 home deliveries were priced below FHA limits, demonstrating our strong positioning within the affordable new home category. In December, the FHA announced they would increase their loan limits across 99% of U.S. counties, which will help support continued affordability for our first time and move up homebuyers in 2022. The new FHA loan limits went into effect on January 1, and increased by approximately 18% basically equivalent to the rise in home prices that occurred over the past year. Our typical buyer continues to have a healthy financial profile with average FICO scores of 746 and 714 based on loans originated in the fourth quarter respectively for Century Communities and Century Complete homebuyers. In recent weeks, interest rates have risen to the current 30 year fixed rate of approximately 3.75%. If interest rates were to rise an additional 50 basis points from today's rate that would only increase the monthly mortgage payment by $61 for a Century Complete homebuyer and $117 for a Century Communities homebuyer, further illustrating the impressive affordability of our homes. Given the robust outlook for housing demographics and in support of our future growth expectations, we've continued to expand our land pipeline to more deeply penetrate our local markets. As part of executing on this growth plan, we have grown our total lot count to nearly 80,000 lots. While our mix of controlled lots versus owned will vary from quarter-to-quarter with approximately 60% currently controlled we are committed to a land light acquisition strategy as we focus on increasing our home production to meet the continued broad based demand we are experiencing. Looking ahead, we expect significant future growth to come primarily from deeper penetration in our existing markets as well as organic expansion. We made good progress on our growth initiatives in 2021 including the geographical expansion of our presence into a number of new areas to further diversify our offerings in attractive high potential markets. Both our Century Communities and Century Complete brands entered Dallas Fort Worth in Texas, as well as Jacksonville and Florida. Century Complete entered Louisville, Kentucky, a brand new market for us and homes are already under construction and available for purchase. Additionally, our Century Communities brand joined our Century Complete brand in delivering homes last year within the Phoenix metro area, a top 10 U.S. city for inbound growth. We now have a dual brand presence across six states including Arizona, Texas, Florida, Georgia, North Carolina and South Carolina, positioning us to benefit from more efficient land acquisition and development in the years ahead. Well, Century has not been immune to the recent industry wide supply chain challenges we found being a builder of primarily spec homes, coupled with our national footprint and purchasing capabilities has helped us navigate these obstacles. In the fourth quarter, 92% of our home deliveries were spec builds. Unlike build to order with spec builds materials can be ordered well in advance of current lead times helping secure availability and insulate us from future fluctuations in cost and supply. We are focused on ordering our materials often and early keeping in frequent communication with our national suppliers and local trade partners to inform them of our current projected production volume and ensure they have sufficient materials on hand to service our markets. In certain instances many of our suppliers also upgraded or substituted materials for us at no additional cost in order to mitigate delays that we would have otherwise experienced. We've also reduced and optimized the number of SKUs in our homes, enabling us to prioritize materials such as windows, appliances, and paint and order these materials in bulk. Our business model also allows us to lock in our cost before pricing and releasing at home for sale. Given recent conversations with our local and national supplier partners, we anticipate material and labor shortages to continue throughout 2022. But remain confident, we will be able to continue to solve for issues as they arise to keep production moving. We're continually impressed by our team's ability to creatively solve for these challenges, and we thank them for their dedication, resilience, and resourcefulness. As we celebrate our 20th anniversary this year, our mission remains unchanged to provide a home for every dream by delivering beautiful, high quality homes to our customers at affordable price points. We intend to continue driving our business forward to ongoing success and build an even more formidable and impressive Century Communities in the months and years ahead. I'll now turn the call over to Dave to discuss our financial results in more detail.
David Messenger: Thank you Rob. During the fourth quarter of 2021 net income increased 80% to a record $165 million, or $4.78 per diluted share compared to $91.8 million and $2.72 in the prior year quarter. Full year net income increased to 142% to $498.5 million with earnings per diluted share rising to $14.47 compared with $206.2 million and $6.13 in the prior year. Fourth quarter pre-tax income was $212.2 million, an increase of 75% and a quarterly record while pre-tax income for the full year increased 137% to $641.1 million, also the highest in the company's history. Home sales revenues for the fourth quarter grew to $1.2 billion an increase of 22% compared to $946.8 million in the prior year quarter. This improvement in revenues was propelled by an increase in deliveries of 2,915 homes compared to 2,826 homes along with an 18% increase in average sales price to $395,000. Full year home sales revenues increased 33% to $4 billion compared to $3 billion last year, driven by a 14% increase in home deliveries to a company record 10,805 homes. In the fourth quarter, net new contracts across our divisions increased to 2,700 contracts a fourth quarter record propelled by a 31% increase in new contracts for our Century Complete brand. For the full year, net new home contracts increased 11% to a record of 12,017 contracts. We also improved our yearend backlog 35% to 4,651 homes valued at $1.9 billion, a 45% increase. In the fourth quarter, adjusted homebuilding gross margin percentage was 27.3% compared to 23% in the prior year quarter. Homebuilding gross margin percentage improved to 25.9% compared to 20.8% for the same period last year. This is the sixth quarter of sequential gross margin improvement. For the full year, home building gross margin percentage improved to 24.2% compared to 18.4% and adjusted homebuilding gross margin percentage improved 510 basis points to 25.9%. Looking at our backlog margins, we anticipate continued year-over-year margin improvement in the first half of the year. SG&A as a percent of home sales revenue improved 80 basis points to 9.3% in the fourth quarter compared to 10.1% in the prior year a result of our ongoing efforts to manage costs, institute efficiencies, and improved operating leverage. For the full year SG&A as a percent of home sales revenue was 9.7% compared to 11.3% in 2020, or improvement of 160 basis points. We ended 2021 with 202 Selling communities up from 198 communities in the prior year and a 9% sequential increase compared to 186 communities at the end of the third quarter. Our financial services business continues to perform according to expectations. In the fourth quarter of 2021 financial services generated $31.2 million in revenues compared to $35.8 million in the fourth quarter of 2020. The business contributed $12.7 million in pre-tax income compared to $17.8 million in the prior year quarter. The decrease in pre-tax income compared to the prior year period was primarily a result of selling loans into the secondary markets at normalized margins this year compared to 2020. In 2021, we captured 76% of the business compared to 64% last year while the number of loans funded increased by approximately 27% on a year-over-year basis. This improvement in capture rate and loan funding resulted in a 20% full year increase in revenues to $123.7 million and $51.2 million in pre-tax income. In 2021, our continued commitment to a strengthened balance sheet resulted in a 38% increase in our stockholders equity to $1.8 billion and an improvement of our net homebuilding debt to net capital ratio of 26.3% down from 27.2% in the prior year quarter. We ended the year with a strong financial position including $1.2 billion in total liquidity, $369 million in cash and no borrowings outstanding on our $800 million unsecured revolving credit facility that does not mature until April 2026. In the fourth quarter, our tax rate was 22.3% compared to 24.2% last year. As at the end of the year, the federal energy tax credits have expired and we expect our 2022 effective tax rate to be approximately 25%. We're pleased with our strong performance in the fourth quarter and full year 2021 which has resulted in us achieving an ROE of 33%, a new record for the company and our 11 sequential quarter of improvement. Now turning to 2022. We remain encouraged by the underlying strength of our business and health of the housing market and are confident that our positive momentum will continue. We expect this year to be another year of success for Century with sequential acceleration sales and community openings as the year progresses. Based on our current development pipeline schedules, we anticipate increasing our community count by 20% to 25% during the year and ending 2022 with between 240 and 250 selling communities. Most of these new communities will be opening in the third and fourth quarters, and sales should track comparatively. Q1 sales will be our lowest of the year, approximating the fourth quarter of ‘21 and will grow sequentially from there. As a result of opening many new communities throughout the year, we expect to be making SG&A investments in these communities that will be offset by volumes, and our year end SG&A percentage should be a tick down from our 2021 levels. Additionally, for 2022, we expect deliveries in the range of 11,500 to 12,500 homes, and home sales revenues to be in the range of $4.3 billion to $4.9 billion. 2022 appears to be another year for significant milestones and record results, including more top line growth and expanded profitability as we drive continued value creation for our shareholders. With that, I'll open the line up for questions. Operator.
Operator: Thank you. At this time, we will be conducting a question and answer session. [Operator Instructions] Our first question is from Michael Rehaut of JP Morgan. Please proceed with your question.
Unidentified Analyst: Hi, this is Maggie on for Mike. First question on how you're thinking about gross margins into 2022? I believe if I heard you correctly, you mentioned that you expect continued year-on-year improvement during the first half of the year. But can you talk about how you're thinking about the sequential performance of those margins particularly as it relates to kind of the moving pieces, the recent volatility in lumber and pricing actions and what not? 
David Messenger: Hey, Maggie, this is Dave. Yes, as we look at our backlog right now and kind of have a little bit of visibility into our Q1 and Q2 margins I'd say they're probably be roughly consistent with our Q3 and Q4 budget, so in that 25.5% to 26% range which would be some pretty significant year-over-year improvement. But obviously, getting into the back half of this year, we'll be watching commodity pricing at our own and house pricing we'll be happy to provide more color on that as we get further in the year.
Unidentified Analyst: Got it. Thank you. And second question. On the orders for the quarter. I think last quarter you had guided to down maybe 10%? Obviously, you came in up 5, so much better than that. And I know that you call out that sales pace accelerated through the quarter. But what changed kind of relative to expectations? And can you talk about what you've seen in January in terms of demand?
Dale Francescon: Sure, Maggie, this is Dale. I think as we said in our prepared remarks, the biggest impact on sales pace is really the number of available homes that we have for sale at any time. The demand was strong throughout the quarter. It's been strong through January. So it's really a matter of when we get starts out to a point that they're fully priced and we're comfortable releasing them for sale. So as we look at that, it's just really we've had a real emphasis on getting home started. And as we get those home started, they're selling and so that's the reason that we saw the increase in the sales pace as the quarter progressed.
Maggie Wellborn: Got it. Thank you.
Operator: Our next question is from Deepa Raghavan of Wells Fargo. Please proceed with your question.
Deepa Raghavan: Hi, good evening, everyone. Thanks for taking my questions. Interesting step up in that community count growth guide. I thought last quarter, we were looking at high single digit, low double digits kind of profile. Curious how did such a growth potential come together within a short span? Was there any acquisitions involved? How did you get together organically in this supply chain and labor constrained environment?
David Messenger: Hey Deepa, this is Dave. Yes, no, there were no acquisitions in the quarter. All of this was organic growth. But as we've been seeing throughout the course of 2021 when we started talking about community account growth, and quarter in the second quarter, the third quarter, we saw things getting delayed, delayed, delayed, and really kind of bunching up in that fourth quarter and not knowing when we're going to be able to pull the trigger on grand openings. We got into October, November, December, and we were able to get some of these pretty much really in November, December some of these communities open at the very tail end of the year through, get them through the municipalities, get the grand opening set and actually get them functional here at the very end of the year.
Deepa Raghavan: Okay, that's fair. Supply chain I mean, it looks like none of your builders want to are expecting any easing at all rest of 2022. But are there? Should we at this point in time, just wipe out any improvements that we could probably see during the year? Or do you see some signs that it could still improve maybe at the margins? And, secondarily, if things do improve by some or ease in any of these supply chain issues ease can be benefit like builders such as yourself in 2022 or will that be only a 2023 story? 
Dale Francescon: Well I'd love to say that I think that we're seeing an easing of the supply chain challenges, but it's nothing has really changed from a positive perspective. And it's not like it's one particular item that causes delays. As I'm sure you can appreciate. I mean we watch our cycle times pretty closely in terms of what we're seeing change. During the fourth quarter, we saw our cycle times expand by another couple of weeks. At this point, our average cycle time is just under seven and a half months. And that's up about two months from where we were at this time last year. But as we look in the future, I mean at some point, it'll start improving, but we haven't, we can't tell you when that is. And we really haven't seen an inflection point anywhere near us.
Deepa Raghavan: Would you say labor issues have gotten worse or you'd say supply being, the product side was worse? Or you think both were equally worse? 
Dale Francescon: Well, I think it's really there in some markets at one point in time, it may be labor. In a different market it may be a particular commodity, or it may be a particular material that we need. So it's just really across the board. And so as opposed to saying, well, it's all labor or it's all materials or it's something, it really is a combination of all the above and it kind of comes together in one market, we may be experiencing one thing and another market, we're experiencing a scarcity of something else.
Deepa Raghavan: All right, that's fair. Thanks very much. Great quarter. Pass it on.
Dale Francescon: Thank you. 
Operator: Our next question is from Alan Ratner of Zelman. Please proceed with your question.
Alan Ratner: Hey, guys, good afternoon. Congrats on a great quarter and year. First question, just on the order pace not to beat a dead horse here. So obviously came in well above what you you kind of signaled to us in October, and you on the flip side, for 1Q expecting flattish order trends. Yes, I understand there is tough comp from the year ago. So not necessarily focused on that. But historically, first quarter spring selling season, you do see a pretty meaningful step up in order activity on a sequential basis. So it doesn't look like your community counts moving lower versus the fourth quarter. So why shouldn't we expect some seasonal lift in order activity?
David Messenger: Hey Alan this is Dave. I think kind of piggybacking off what Dale said, our sales right now are really dependent on the amount of homes we're putting out there for sale, and the inventory we're making available. From a community count perspective we look at it, we look at the first quarter and think that may end up being relatively flat with the number of communities we're opening as well as closing out of, and then you start to see that really ramping quarters two through four, from a sales perspective here in the first quarter of the year, seeing it'd be relatively flat compared to Q4 that's really a function of just the amount of inventory and starts we have in the ground that would be getting in the ground here over the next couple of months.
Alan Ratner: Got it. On that note, do you have the number of -- in most of your businesses spec, but do you have the number of spec homes that you currently have under construction and how that compares to a quarter ago and a year ago?
David Messenger: That's not something we've disclosed previously.
Alan Ratner: Okay. Well, then maybe I can get a due over here on my follow up, then. Can you talk a little bit about built for rent and what activity if any in terms of sales, you've had to build to rent to investors, operators and what the outlook is for ‘22 on that?
Dale Francescon: Yes, Alan, I mean, there's, I don't think we're different than a lot of the other builders. And we have relationships with a number of the large institutional investors, and we'll sell off certain of our inventory to them. Most of that is in our Century Complete business, although we do some in our Century Communities business as well. But in terms of the number of sales that we do to investors, it's a small part of our overall business.
Alan Ratner: Single digits, I would assume.
Dale Francescon: Yes.
David Messenger: Yes.
Alan Ratner: Okay. Thanks a lot, guys.
Dale Francescon: Thanks. 
Operator: Our next question is from Alex Rygiel of B. Riley. Please proceed with your question.
Alex Rygiel: Thank you. Very nice quarter gentlemen. Couple of quick questions here. Backlog in the southeast trended down year-over-year of last couple of quarters. Can you expand upon this because it looks like you're lockdowns growing a lot? So we just having a little bit of a timing differential here with regards to when the southeast market kind of rebounds.
Dale Francescon: Yes. That's what it is. It's complete timing. And we closed out of a lot of communities. And we have a lot in the queue now that we'll be opening up. So it's strictly timing.
Alex Rygiel: It's helpful. And then as it relates to the online buying system, anyway to help us understand sort of what portion of your buyers are using it, and how integral it has become to your sales process.
David Messenger: Well, on the Century Complete side, virtually all of our homebuyers use it even if they're working with a sales counselor. That is the way that we sell homes on Century Complete. On Century Communities we've just migrated to that. So it's a small percentage of our sales today. But I expect that as we look forward every quarter and every year, it'll continue to grow. I mean, it's so convenient. It's such an easy way to do it. We worked out the bugs on the Century Complete side and now we offer the basically the same experience across the board.
Alex Rygiel: Thank you.
Operator: Our next question is from Alex Barron of Housing Research Center. Please proceed with your question.
Alex Barron: Well, gentlemen, great job in the quarter and for the year. I wanted to ask about the Texas region looks like the deliveries had a nice increase this quarter but they had been a bit depressed the previous quarter. So can you guys discuss a little bit about what went on there and what caused both of those things? And how is the outlook for this year?
Dale Francescon: Well, we like the Texas region. And we looked at that from a investment standpoint, from a lot count standpoint, from a closing standpoint and we wanted to increase and enhance what we had within those markets of Texas. So this has been a strategy we've deployed and as you know, it takes a little time for things to come to fruition, but that's why those numbers are up now. We're continuing to do that on the land front by increasing our pipeline of lots there were we have on a year-over-year basis we're up at least 50%, over 50% and we own and control about 13,500 lots round numbers within the Texas region. That's an area that we are definitely looking to grow upon.
Alex Barron: Got it. Just wanted to clarify the comment you made about orders, expecting them to be slapped. Did you mean sequentially or did you mean year-over-year?
Dale Francescon: Sequentially. 
Alex Barron: Okay, got it. Thanks. And then another question was, I applaud your decision to start the dividend but just curious around your current thoughts around share buybacks?
David Messenger: Hey Alex. Yes I mean, share buybacks are always an option for us. And it's something that we have continued to monitor as we evaluate whether we should, evaluated investing in our divisions and the organic growth of century as a whole or if we should be buying back shares in the marketplace. Obviously, to-date we have not done so. But it's something that we'll continue to evaluate it as we go through ‘22.
Alex Barron: Okay, great. I'll give it somebody else. Thanks.
David Messenger: Thank you. Thanks Alex.
Operator: Our next question is from Jay McCanless of Wedbush Securities. Please proceed with your question.
Jay McCanless: Good afternoon everyone. Thanks for taking the question. So was Century Complete since you, I'm assuming can see some of these orders and what people are selecting in real time? Since rates have started moving up have you seen any type of trade down or people trying to take a smaller book for plan?
Dale Francescon: No, since the recent moving rates Jay we haven't seen any change in demand or buyer behavior.
Jay McCanless: Good to hear. I know we already talked about lumber and I'm assuming with a seven month cycle time that we'll have to be thinking about maybe some higher lumber costs in the gross margin in the back half of the year but maybe could you comment on the other input costs shingles, cement, etc what you're seeing on the in the POS trends for those goods?
David Messenger: They're all going up. I think that right now you're just seeing supply chain and totally. cement costs are up. plumbing is up. Dry walls up. Just scanning through my list here. Most items on a year-over-year basis are trending upwards. And it could be anywhere from 2% to 10%.
Jay McCanless: Okay. It sounds like you guys are comfortable that you're staying ahead of the price cost curve with the pricing you've been able to implement so far?
David Messenger: Yes, based on what we have in our backlog, I would say yes.
Dale Francescon: And that's really the beauty of our model in that we're not releasing homes for sale until we've got our costs locked in. And that's part of why we like the spec business model.
Jay McCanless: Sounds great. Thanks again.
Dale Francescon: Welcome. Thanks.
Operator: We have reached the end of the question and answer session. I will now turn the line back over to Dale Francescon for some brief closing remarks.
Dale Francescon: Thank you, operator. I'd like to take this opportunity to once again thank all of our team members for their incredible work and continued dedication to our valued homebuyers. I'd also like to thank our investors for their time today. We appreciate your continued support and investment and look forward to speaking to you again next quarter.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.